Operator: Good afternoon, and welcome to the Vail Resorts Fiscal Third Quarter 2025 Earnings Conference Call. Today's conference is being recorded. Currently, all callers have been placed in a listen-only mode. And following management's prepared remarks, the call will be opened for your questions. If you need to remove yourself from the queue, press 2. To get to as many questions as time permits, we ask that you please limit yourself to one and one follow-up. At any time, if you should need operator assistance, please press 0. I will now turn the call over to Angela Korch, Chief Financial Officer of Vail Resorts. You may begin.
Angela Korch: Thank you, operator. Good afternoon, and welcome to our fiscal 2025 third quarter earnings conference call. Joining me on the call is Rob Katz, our Chief Executive Officer. Before we begin, let me remind you that some information provided during this call may include forward-looking statements that are based on certain assumptions and are subject to a number of risks and uncertainties, as described in our SEC filings. Actual future results may vary materially. Forward-looking statements in our press release issued this afternoon, along with our remarks on this call, are made as of today, 06/05/2025. We undertake no duty to update them as actual events unfold. Today's remarks also include certain non-GAAP financial measures. Reconciliations of these measures are provided in the tables included with our press release, which, along with our quarterly report on Form 10-Q, filed this afternoon with the SEC, are also available on the Investor Relations section of our website at www.vailresorts.com. Before we discuss our results, I would like to turn the call over to Rob for some opening remarks.
Rob Katz: Thank you, Angela. Good afternoon, everyone. I am humbled, grateful, and super excited to be back in the CEO role at Vail Resorts. And it's good to be on this call with all of you again. First, I want to start out by thanking Kirsten Lynch, our former CEO, for the incredible career she has had with Vail Resorts, including the past 3.5 years as CEO. Huge progress was made on so many fronts, from investments in our frontline talent, new guest experience innovations, to much more, which will all absolutely be things we will be leveraging as we go forward. And I have immense gratitude for her for all of that work. So why did I choose to be back in this role? First and foremost, I love this company because of the incredible people we have working here and the amazing resorts we get to operate. I remain as passionate about this company, the sport, and our industry as I was when I first worked with Vail Resorts at least three decades ago. But most importantly, I see a terrific opportunity ahead of us to drive value with the incredible foundation that's already been set. Given how much time I've spent around this company, it's natural to assume that I arrived here with a fully thought-out detailed action plan. But that's not the case. Because there is a big difference between serving on the board and being an executive here every day with our teams driving change. And that is where real change happens, on the ground. That was true in 2006 when I first took over as CEO, and that is still true today. So while I'm not a brand new CEO for this company, I'm still new, as so many things are different at the company and different in our industry and in the macro environment. And it will be important for me to take the time to listen and learn from everyone here and for all of you to give me the space to do that as well. That said, of course, I'm not starting at ground zero. And we'll have much more to share on our future plans during upcoming earnings calls and at our investor conference next spring. With that in mind, I am starting this next chapter with some fundamental points of view. The foundation of our success as a company remains our unique portfolio of owned and operated resorts and our strong business model that drives stability in an industry that is uniquely exposed to weather volatility. Advanced commitment remains central to the guest experience and our own thesis on how we drive value. Equally as important is that the guest and employee experience is paramount and is at the center of everything we do. And we need to always remember that while we also drive our financial success. When I look back on this past year, I see so much to be proud of and strong performance in so many areas. However, I also see areas where we can and will do better. Because we have high expectations for ourselves. And we are driving strong guest satisfaction scores. However, we need a more consistent guest and employee experience throughout the season and across all of our resorts. We can also do a better job communicating with our guests. We have incredible data and insights on our guests and very sophisticated tools and talent to drive demand, but we need to continue to innovate our marketing efforts as the environment around us has continued to evolve and ensure that our strategies and tactics are meeting guests where it's most impactful. Missing the mark here has clearly contributed to softer results than we expected this past season. It also needs to be clear to our guests what our company stands for. I recognize that the very existence of Vail Resorts as the industry leader and a large publicly owned company can sometimes seem at odds with the essence of the ski industry. But that's not how I see it. We are a company filled with passionate people and so many avid skiers and riders who have worked for decades to innovate this industry for the better. And we can do a better job showcasing how we benefit our guests and employees and the industry overall and most importantly, do a better job avoiding the moments that often set us backwards. Driving guest engagement and loyalty and stronger revenue growth are among my top priorities as CEO. I also understand that there's a narrative that the industry is mature, that there are not many strategies left to drive growth in our company. It's important to remember that that is exactly the same narrative I walked into when I became CEO in 02/2006. Of course, we can't just replay the approach and success we had back then. But it means I'm not daunted by the challenges of how to drive growth. I remain incredibly optimistic about what's possible because we are a much stronger and more innovative company than we were in 02/2006. With team members and leaders who are more thoughtful, sophisticated in their approach. And that is a powerful combination to drive change. And we need to recognize that change takes time. Especially in an industry where the majority of our earnings occur over only four months each year. But the extra time it takes us to drive change also means that as we build our competitive differentiation those advantages can drive revenue growth for years to come. Through it all, my primary job as CEO is ensuring we align with all of our stakeholders to deliver an experience of a lifetime for our guests, and employees while driving financial success for our company as well. And that is what fuels my excitement to be back as CEO. With that, I'll turn it over to Angela to cover our fiscal 2025 third quarter results.
Angela Korch: Thanks, Rob. Results in the quarter reflect the stability provided by our season pass program as resort net revenue, excluding Cremontana, remained consistent with the prior year even as visitation declined 7%. In March and April, destination visitation among pre-committed past guests improved as expected. However, visitation from uncommitted lift ticket guests was below expectations. Ancillary spend per destination guest visit was strong across our ski school and dining businesses throughout the quarter. Overall revenue in our ancillary business was impacted by the lower visitation. When looking at our performance throughout this past North American ski season, our results reflect the strength of our advanced commitment strategy, strong destination guest spending, and the impact of our Resource Efficiency Transformation Plan. The company achieved 3% growth in resort reported EBITDA year to date, despite total skier visits declining 3% across our North American resorts. From the beginning of the ski season through 04/30/2025. North American visitation reflects the benefit of improved conditions in the second quarter, relative to the prior year. Offset by the expected decline in visitation from selling fewer pass units this season. For the year-to-date period, resort net revenue increased 3%, driven by a 4% increase in season pass revenue, and increased ancillary spend per guest across our ski school and dining businesses. Resort reported EBITDA year to date also reflects strong cost discipline, including savings from the Resource Efficiency Transformation Plan. The company's full-year resort reported EBITDA growth is partially offset by $15 million in expected increased costs from company-wide performance-based management incentive plan expense that was not earned in the prior year. Of which $12 million has been incurred through the fiscal third quarter. And $6 million of expected unfavorable reserve reported EBITDA impact from changes in foreign exchange rates. Of which $4 million has been incurred through the fiscal third quarter. Overall, the results demonstrate the strength and resilience of the company's business model supported by its expansive resort network and loyal guest base even as the company's Western North American destination resorts experienced a decline in visitation. With outsized impacts from fewer lift ticket guests. Through the 2024-2025 North American ski season, guest satisfaction scores across our destination mountain resorts and regional ski areas were strong, and consistent with the prior year. Excluding Park City Mountain. As a result of the investments we continue to make in our teams, the company achieved record frontline return rates and strong employee engagement scores across our mountain resorts during the winter season. In addition, we are on track to our two-year Resource Efficiency Transformation Plan which was announced in September 2024. The plan is designed to improve organizational and effectiveness and scale for operating leverage as the company grows. Through the three pillars of scaled operations, global shared services, and expanded workforce management, the company expects $100 million in annualized cost efficiencies by the end of its fiscal 2026 year. The company now expects to deliver approximately $35 million of efficiencies before one-time operating expenses in the fiscal year 2025. Which includes $8 million of efficiencies the company is accelerating into the current fiscal year from its original fiscal year 2026 plan. The company remains on track to deliver the $100 million in annualized cost efficiencies by the end of its fiscal year 2026. Now turning to our outlook for fiscal 2025. As a result of the lower than expected lift ticket visitation during the spring period, announced on April 2025 and one-time costs related to the CEO transition announced on 05/27/2025, the company is updating its fiscal guidance for fiscal 2025. The company now expects net income attributable to Vail Resorts to be between $264 million and $298 million and Resort reported EBITDA for fiscal 2025 to be between $831 million and $851 million. The guidance reflects the lower than expected lift ticket visitation in the spring period, that was partially mitigated by the company's focus on its Resource Efficiency Transformation Plan and strong overall cost discipline. The updated guidance now includes an estimated $9 million in one-time costs related to the CEO transition. In addition to the estimated $15 million in one-time costs related to the multi-year Resource Efficiency Transformation Plan and the estimated $1 million of acquisition and integration-related expenses specific to Cromontana. Compared to the original fiscal 2025 guidance, the updated guidance includes an estimated $7 million impact from foreign exchange rates. At the midpoint, the guidance implies an estimated resort EBITDA margin for fiscal 2025 to be approximately 28.4% or 29.2% before one-time costs from the Resource Efficiency Transformation Plan and CEO transition. Turning to our balance sheet and capital allocation priorities. As of 04/30/2025, the company's total liquidity is measured by total cash plus revolver availability. And delayed draw term loan availability was approximately $1.6 billion. This includes $467 million of cash on hand, $508 million of US revolver availability, $450 million of U.S. Delayed draw term loan availability, $215 million of revolver availability under the Whistler credit agreement. As of 04/30/2025, the company's net debt was 2.6 times its trailing twelve months total reported EBITDA. The company declared a quarterly cash dividend on Vail Resorts' common stock of $2.22 per share. The dividend will be payable on 07/09/2025, to shareholders of record as of 06/24/2025. During the quarter, the company repurchased approximately 200,000 shares at an average price of approximately $161 per share. For a total of $30 million. Additionally, the Board of Directors increased the company's authorization for share repurchases by 1.5 million shares approximately 2.8 million shares. We remain committed to being a disciplined and balanced approach as stewards of our shareholders' capital. We continue to prioritize investments that enhance our guest and employee experience, provide high-return capital projects, and enable strategic acquisition opportunities. After these priorities, we focus on returning excess capital to shareholders. In the current environment, the company looks to balance its approach between share repurchases and dividends. The current dividend level reflects the strong cash flow generation of the business, with any growth in the dividend dependent on a material increase in future cash flows. And the company also maintains an opportunistic approach to share repurchases based on the value of the shares.
Angela Korch: As it relates to the investments that enhance the guest experience, we remain committed to consistently increasing capacity at our resorts through lift, terrain, and food and beverage expansion projects, along with investments in technology to further elevate the guests and employee experience at our resort. The company expects to invest approximately $249 million to $254 million of total capital in calendar year 2025. Key capital investments include the multi-year transformational investments plans at Park City Mountain, which include the new Sunrise Gondola, out of the Canyon's base area, along with beginner terrain improvements and restaurant upgrades, in addition to investments at Andermott Citroen, a new six-pack lift at Perisher, new functionality for the MyEpic app, more advanced AI capabilities for MyEpic Assistant, and technology investments across the companies and for our businesses. Now I'll turn the call back to Rob to discuss the spring test results.
Rob Katz: Thank you, Angela. Test product sales through May 27, 2025, for the upcoming North American ski season decreased approximately 1% in units and increased approximately 2% in sales dollars as compared to the period in the prior year through 05/28/2024. Given elevated levels of macroeconomic volatility that occurred throughout the spring selling period, it is currently unknown what if any impact that had on early past decision-making. Past sales dollars are benefiting from the 7% price increase relative to the 2024-2025 season, partially offset by the mix impact from the growth of Epic Day Pass products. Pass product sales are adjusted to eliminate the impact of foreign currency, by applying an exchange rate of $0.73 between the Canadian dollar and U.S. Dollar in both periods for Whistler Blackcomb pass sales. The slight decline in units relative to the prior year season to date primarily driven by new pass holders and lower tenured renewing pass holders. Which may reflect delayed decision-making by the macro due to the macroeconomic environment. Epic Day Pass products experienced strong unit growth driven by the strength in renewing pass holders. Overall, renewing passholder product net migration was relatively consistent with the prior three years. The majority of our pass selling season is ahead of us and we believe the full-year pass unit and sales dollar trends will be relatively stable with the spring results. We will provide more information about our past sales results in our September 2025 earnings release. EPIC Australia past sales through 05/28/2025 increased approximately 20% in units and approximately 8% in sales dollars as compared to the period in the prior year through 05/29/2024. EPIC Australia Pass sales are benefiting from the successful introduction of the Epic Australia four-day pass, which is resonating with lower frequency skiers and riders in Australia. In closing, with the North American and European ski seasons coming to an end, I want to especially thank our frontline employees for their passion and dedication to delivering an experience of a lifetime to our guests. Our employees are the core of Vail Resorts' mission. And I'm looking forward to seeing all of our employees and all of you up on the hill. At this time, Angela and I would be happy to answer your questions. Operator, we are now ready for questions.
Operator: Thank you. We will take our first question from Shaun Kelley with Bank of America. Hi, good afternoon everyone. Thanks for taking my questions.
Shaun Kelley: Rob, welcome back. It's great to hear your voice again. I appreciate you doing this. So I'd love to lead off with kind of where you started on some of the priorities that you highlighted. I think if I caught it, the prepared remarks, said customer experience and stronger revenue growth. So just what could some of the key levers be in both those areas? I appreciate it it's super early, but kind of maybe walk us through the about what you're exploring and what could be on the table in those areas, if that's the the top two that come to mind. Thank you.
Rob Katz: Sure. I think on guest experience, I think it is building on the progress that we're already making. I think we've made a lot of investments in guest experience. And if you it's Park City had a challenging experience. Obviously, think everybody knows, during a portion of this year. But you look at all of our other resorts, we actually had really good guest experience scores. That said, the Park City experience was obviously unacceptable. And so, yeah, one of my key priorities is ensuring that all of our resorts are consistently throughout the season delivering that experience. And I think that's literally a matter of building on track record and the investments that we've already made and just bringing them to life and executing. It. I think on the marketing side, we've got incredible fundamentals and foundations, right, in that group and terrific talent. I think there's an opportunity for us to take we're doing in marketing and bring it to be a little bit more current We've had a number of things that have been so successful for us when you look back over the last decade. But obviously, some new tools and approaches for us to make sure we're really connecting with guests in a way that's most impactful given the kind of changing environment that's out there. And I think that is for us, a critical part of really returning to revenue growth.
Shaun Kelley: Thank you. And then just as my my follow-up, you also kind of reiterated that advanced commitment remains pretty much the core of the business and it obviously has revolutionized the stability of your earnings and cash flows over time. So zooming out as we kind of look at the mix as it's progressed here in a few years after the price cut, What's on the table in terms of adjusting or tweaking the pricing strategy? And is the 75% of lift ticket sales still the North Star in terms of what you're targeting? Would there be any opportunity to possibly readjust that mix and think about high low strategies and things like that to possibly drive different levels of utilization. Just help us think kind of how you're thinking about ways to maybe further evolve something that obviously you basically transform the industry with?
Rob Katz: Yeah. I think I would say that weather volatility is not going away. And so I think the core thesis that it's important to get people to commit to their skiing in advance remains. I think one of our focus areas, though, is obviously how we get the pricing and product strategy of that right. And I think we've continued to innovate online But I think there are opportunities for us to look at our product portfolio and see where is that we could there may be gaps that we could fill. It's important to also remember when you look at season pass growth overall, in the last like this year and certainly last year is that obviously grew dramatically Right? When you look back at 02/2002, and so we added, we almost doubled, right, up 40%, right, the number of passes. And so once you do that, of course, it's true that you're probably pulling some future growth in a couple of those years, right, from future years. And that's somewhat to be expected. That said, obviously, we're a much stronger company by having people commit in advance. And I think that's true not just in the ski industry, but it's true in almost all of travel where people are looking to get there. Customers to commit in advance. I do think there's also opportunities for us to do a better job on driving lift ticket sales. Mean, obviously, for this year, that was obviously an area that didn't perform to where we expected them to. And it's going to be our job to really innovate and come up with approaches where we feel we can drive lift ticket sales, particularly in off-peak periods, while at the same time not really putting or endangering, right, the value that we're offering from our season pass.
Shaun Kelley: Thank you very much.
Rob Katz: Yep. Thank you.
Operator: We'll go next to Jeff Stantial with Stifel. Hey, good afternoon, everyone.
Jeff Stantial: For taking our questions and welcome back, Rob. Actually just sticking on that last point, that you just made on driving ticket lift ticket sales. You think about the decline you saw this season and for a couple of seasons now, obviously, part of this is sort of just post-COVID reversion in guest behavior, some of it was weather. But part of this does feel a little bit more structural in nature. So with that in mind, Robin, just curious how you think about and frame this moderation in window ticket sales that you have seen recent years? How much of this is sort of unavoidable? How much of it was more self-inflicted? And then strategically, does it does this feel like a trend that can be reversed with just some operational and marketing adjustments? Or does this really warrant a deeper discussion on the optimal pricing strategy?
Rob Katz: I think I guess when I look at it, what I would say is obviously, we want people to be on the mountain. And we want people to visit our resorts. And our of course, what we prefer is that people buy in advance and come to the resort on a pass product of some sort. To the extent that there are people who are not doing that, it's still our hope to convert those lip ticket buyers or people who today may not be buying a pass to a pass product. But if we don't get them on a pass product, it's our job to provide avenues and paths for them to come to our resorts to try them out. Ultimately get them into our primary loyalty product. I think that that does require looking at new approaches to our past product and pricing strategy. I don't think it actually goes to the core thesis. That we would prefer to have people in advance commitment products. And we're not about to do anything that call into question the value proposition that we're offering to our power sellers.
Jeff Stantial: That's great. Thank you for that. And then maybe just turning over to the current trade environment as this is our first time hearing from you since April 2. Rob or Angela, can you just sort of frame out for us where the exposure is in the model to potential payers just after the landscape looks today, keeping in mind it's dynamic. And then just sort of what sort of opportunity do you have to offset or derisk any potential exposure? Thanks.
Angela Korch: Yeah. Thanks, Jeff. As a Service business, we don't have a lot of direct exposure tariffs, right, because our main cost is labor. But there's obviously a larger impact that we're looking at from tariffs, which is right, how does that impact the consumer? And does that impact any shifting in their spending patterns? And of course, right, in this kind of macro environment, that just creates some uncertainty. So that's the side that we watch more. On the actual cost piece, right, we do have a lot of long-term agreements, and it's the largest purchaser with a lot of our suppliers, right? Do have ways to kind of help mitigate on the expense side the impacts.
Jeff Stantial: Great. Thank you both. Thanks. We'll go next to David Katz with Jefferies. David Katz: Good afternoon. Good to talk to you. Rob, I wanted to talk about sort of labor broadly speaking. Right? Much has changed since we last had this conversation. One of which is just generally cost of living, costs in general. And the company has made some adjustments etcetera. You know, but that's a I imagine, a particular area of focus. And sort of an overall labor strategy, I know this is a general question, but I'd love to hear what what high level thoughts you may have so far.
Rob Katz: Yeah, I mean, I think I said a couple times, you know, both in this call and obviously on my, you know, letter to to you know, all of our team members that, you know, everyone, talent in total. Right? All of our employees, all of our team members, at this company, right, are core. Everything we do. And and we understand that that is right, the experience that people are coming for. It's not just the resorts. Right? It is actually how they interact with the people who are here. And the service that they get is all about, right, all of our employees throughout every part of the business. And so it's critical for us to yeah, have show up in a way that truly delivers that experience of a lifetime. And that only happens if we do that for them. And that includes, you know, our employees that may be part of a union. I mean, they are just as important anyone else here. And it's important for us to, of course, work through various processes that go on with our unionized employees in a way that brings those to a successful resolution. There's always going to be tension. There's always going to be challenges. Through that, of course. And obviously, even after the Park City negotiation and ultimately the impact that happened to the resort, two other very successful union contracts that were signed this year. And many others right in the years that preceded the Park City situation. So that is, of course, very top of mind for me. But again, as part of a broader commitment to ensuring that we are delivering and supporting our employ delivering the right experience for our employees and supporting them, that they can ultimately deliver the right experience for our guests. And of course, that's critical to driving revenue growth as we, you know, look ahead.
David Katz: Understood. And one of the other sort of harder evolving challenges has been weather. Right? And it seems as though you know, the weather presents a challenge somewhere almost all the time. And I just wonder the degree to which you sort of think about that in today's environment, and how you aside from the presold nature of the passes, are there other, you know, strategies, whether financial or otherwise, that you can you know, deploy in in just dealing with that complexity?
Rob Katz: I think that is, of course, one of the, you know, most important things we always are thinking in terms of the business, and it's certainly a unique aspect, right, about this industry versus some other parts of travel. But we do think that our advanced commitment strategy is is critical for that. And it is about this trade that we're making with our guests, where we're providing you know, a more accessible price point to them. And in return, right, we're getting a commitment for the season. And I don't see us shifting away from that. Obviously, it's critical for us to be part of making our resorts right, a kind of fulsome experience. Right? So when our resort communities and the towns that we operate in are thriving and the businesses there and the experience that they provide are thriving, that also provides a reason for people to come even if the snow isn't as good. And so that's also a component for us of how we ensure that even through lower snow years, can still know, bring guests in and drive revenue.
David Katz: Understood. Thank you very much. Thanks.
Operator: Go next to Megan Clapp with Morgan Stanley.
Megan Clapp: Hi, good evening. Thanks so much. Rob, you mentioned in your prepared remarks there's a lot that's different about the industry, macro, companies since you were last in the seat. Maybe if we could talk about the industry a bit. There's been, you know, maybe not necessarily news since you left, but there's a lot of other multi-mountain pass players, many of which have grown their portfolios pretty significantly over the last couple of years. So how do you think about the company's position from a competitive perspective both from the past offering as as well as your network of reports, and and how do you think about how that positions you to drive pass through in The US What's and just what seems like a more competitive environment than it than it maybe has been historically?
Rob Katz: Yeah. Absolutely. I mean, I think there's no question that the Icon Path, which was you know, which debuted when I was still CEO, of course, right, presented new competition to us. But I think it also helped build and secure the entire market for advanced commitment products. So I think from the time that ICON has shown up till today, I think the consumer mindset has shifted from thinking about whether they should buy a pass at all to understanding that actually that's probably the best way to you know, actually access a mountain. And so now it's just a matter of which pass they buy. I think our company should welcome healthy good, thoughtful, innovative competition. And there's no doubt that the Icon Path is absolutely been that. I think I feel like our path offering is very strong and very compelling and, you know, is tailored to the guests that we're going after. And it's true. We don't we look at adding resorts or adding a partner in a very, like, disciplined, thoughtful way about what we think adds and is not to duplicative to what we already have. And to the extent that that yeah, brings in new guests, or really provides an experience that will broaden the experience that our guests are looking for. And really moves that needle, then that's something, you know, that we looked at before, and that's something we'll continue look at as we go forward. I think it's also true, though, that as we have competitors that have continued to get better, we have to get better. And that relates to some of the comments I made about our marketing effort in terms of think there's opportunities for us to innovate there. And to bring some of the approaches that we're using to be more current with the tools and communication channels and approaches that are available in today's environment. And so I think just like you saw us do that in multiple incarnations over the last fifteen years, I think there are many opportunities for us to do that again.
Megan Clapp: Okay. That's helpful. And maybe just a follow-up on the Europe European strategy. Bill's been pretty clear as recent as the Investor Day in March, and I think you even mentioned it in prepared remarks on the benefits of the owner-operator model. Europe is a place where you've had partnership for years, and you recently added, I think, six new partners in Austria. So should investors look at that as signal maybe about your willingness to explore the partnership model more broadly in Europe? And and perhaps is there an opportunity in your mind to launch a path through the partnership model in Europe versus the owner-operated model? And if I can just squeeze one in, just how are you thinking about M and A? I guess, is the use of capital broadly, particularly as you might need to reinvest to reinvigorate growth in The US.
Rob Katz: Yeah. I think in Europe, not that different than The US or anywhere else. I think our preference is always going to be to own and operate a resort. It's a that that is a completely different business. Of course, than having a just a partner. But it is the business that we're in and where we think we add tremendous value. On multiple fronts. One, we think we can operate the resorts better. And two, we also think that we we collected data from the resorts. We can be more flexible in the approach. That we're using in terms of price promotion and communication channels. All of that, we think, is a comprehensive opportunity. Now that said, especially internationally, no, we have been open to partnerships and we'll continue to be open to partnerships because we do think it enhances the path and at the same time many of those resorts are not resorts that are interested in selling. And we completely understand that. But we're still going to be disciplined in how we add either a partner or an owned resort. And I think that's true on the M and A front here as well. Or anywhere in the world. We need to be disciplined. It's critical for us, right, to ensure that we're buying the right resort in the right location for the right price with the right upside both in terms of how the ski and guest experience can be expanded and obviously financially. Right, the kind of returns we can drive from that investment. I don't see that as really changing from the approach that we've taken over fairly long period of time. That said, I think it's also true that within Europe, you absolutely are going to take a very disciplined approach. You know, just given the opportunity we have, we think, to begin to create a network. And we don't wanna in the end of the day, when the right opportunity presents itself, we will pursue it. But it is going to be a very targeted approach. And a disciplined approach as we look forward.
Megan Clapp: Great. Thanks, Rob.
Rob Katz: Thanks.
Operator: We'll go next to Laurent Vasilescu with BNP Paribas.
Laurent Vasilescu: Hi, guys. This is Dion on for Laurent. Maybe as you look to next season, do you foresee any issues to get in terms of getting visas for international workers? And maybe just talk about the environment for seasonal workers into next season account. Extending on that point about labor?
Angela Korch: Yeah. Thanks, Dion. Yeah, we do use abuses, like you know. Some of our seasonal hiring especially where we flex in the season. And we've gone through a lot of different environments, right? Through especially related to the COVID times where there were a lot of restrictions on that. We've been able to manage through those kind of changing levels. And we've really reduced our number of visas also over time, as you've heard us talk about the high retention rates and return rates that we've had for seasonal employees, right, that also reduces kind of the the need for some of those programs. But we continue to look at it every year and really evaluate where where we will take advantage of those programs or not. But we don't see that as a that we couldn't manage around at this point.
Laurent Vasilescu: Okay. Got it. And then you mentioned about $8 million worth of earlier cost savings. From the transformation plan. Maybe you can talk a little bit more about how the transformation plan is going and and, you know, maybe some of the savings that you're getting?
Angela Korch: Yeah. We are really pleased that we were able to really focus on accelerating some of our efforts that we'd already for our Resource Efficiency Transformation Plan. Into the current year. And that obviously helped offset this year some of the visitation shortfalls that we had. Yeah, the team has done an amazing job of really making sure that we can deliver on all three pillars You saw us more recently, maybe in May, see the announcement where we also kind of put out for our change in operating model for our division to realign some of those resorts, but also some centers of excellence that we can do that can really unlock savings for us as well.
Laurent Vasilescu: Okay. Great. Thanks, guys. Thanks. Well, the next
Operator: to Patrick Scholes with Truist Securities.
Patrick Scholes: Hi. Good evening, everyone. Regarding the standing offer for Park City, is entertaining that just a nonstarter Or, Rob, you know, given your reputation as a a creative outside the box financial idea person, you know, would you consider finding a way to to sell that at an accretive multiple, but perhaps maintain a long-term agreement to keep Park City in the Epic Pass network?
Rob Katz: No. No. That's not something that we're looking at. And and we we don't think that that ultimate is in the right long-term interest of our company. We think it's especially a resort like Park City, of course, is critical to our overall company and our network. And yeah, we think it's incumbent upon us to continue to listen to the feedback from our guests, from our community partners, and continue to drive improvement. Both in the way that we deliver an experience for our guests the way that we deliver for our employees, and the way that we deliver for our community members. And it's true. You know, One of my priorities is aligning, right, all of our stakeholders And not all of our stakeholders are going to agree with with the things that we decide to do. They may not all agree amongst themselves about what is the right strategy and approach. And it's our job to kind of navigate that dynamic. And obviously in an environment where you've got a fair amount of passion, and a fair amount of emotion, that can sometimes be tricky, and we may not always get it right. But that's still our job and something we're very committed to.
Patrick Scholes: Okay. Thank you for making that very clear. My follow-up question actually is on the dividend. You know, how comfortable are you, Rob, with the the current dividend policy? Or the payout levels? Could that possibly that payout be up for review? Thank you.
Rob Katz: Yeah. Sure. I'm very comfortable with our dividend, and I think our board is. Obviously, that's why we announced and authorized the dividend again this quarter. At the same time, we wanted to make it clear in our remarks that that the priority for us is always going to be the investments that we're making in our employees, in our resorts and in acquisitions. And that always comes first. And then we're looking at the funds that are left over after that. In terms of what we're returning to shareholders And I think one of the comments we made is that, yes, we look at the dividend, we're comfortable with it. And of course, if we were going to increase it going forward, it would have to be after, right, a real material increase in our free cash flow. And so in our mind, that of course would better align the payout ratio that you're talking about as we look over the next couple of years. Okay. Very clear on that. Thank you.
Operator: Thanks. We'll go next to Arpine Kocharyan with UBS.
Arpine Kocharyan: Hi. Thank you so much for taking my question, and, welcome back. You know, to revisit Megan's question regarding the European strategy for a moment, Could you talk a bit about your approach there? Do you think the playbook you had for North America could actually work for Europe where you have more proximity of mountains and where maybe raising lift ticket prices to make the customer choose the path product might not be as smooth as how that evolved in North America? Then I have a quick follow-up.
Rob Katz: No. We don't think that the same playbook we've used in North America would be the right playbook for Europe. And we think that to the extent that we launched a really European based pass product, it would be different. And the approach would be different because we understand that all of the dynamics are very different there. At the same time, we believe that there is an opportunity to be more strategic about the approach. That is being taken in Europe. And I think, you know, even more so you think about the European ski industry going forward and the weather volatility that we talked about before. So the same attractiveness of an advanced commitment product, we believe exists there as well. And just like in The United States, it took many years right, for even our past product, let alone the rest of the industry to follow. Of course, it would take take time for that to happen there. But if you look out over the long haul, we certainly think that there is a compelling opportunity not only for us but for the industry itself there.
Arpine Kocharyan: Great. Thank you. That's very helpful. And in terms of your outlook for '20 for next season for next year's season, and how that's shaping up, I guess, what are you seeing in the business to give you that confidence that trends that you saw in spring will sort of remain steady for the year? The reason I'm asking this is because investors sort of think of Vail's average consumer to be a bit higher end than US average maybe, and in some ways, maybe a little bit insulated from the inflationary pressures of the same time, we are in a different macro environment today than three months ago. How how how does that go into your overall sort of calculations for, next year's ski season.
Rob Katz: Yeah. I think the macroeconomic environment is definitely risk. I think our comments about continuing the trends on season pass sales are dependent upon the macroeconomic the macroeconomic environment staying relatively stable. Obviously, if it got dramatically worse, no, of course that could change. And if it got better, we could see the opposite. And we also commented that, yeah, it's unclear yet. Whether the macroeconomic environment over spring past sales, especially when a, you know, decent amount of our spring past sales occur, you know, before the April deadline, which was right in the you know, heart of a lot of the chatter that was going on there, you know, on a macro basis. Whether that led to delayed decision making is something we won't see till the end of the season. So I'd say, based on what we're looking at right now, and the data we have on our own gas and assuming a relatively consistent macro environment, yeah, we feel good about maintaining the trends that we're seeing right now.
Arpine Kocharyan: Thank you. Thanks.
Operator: Go next to Ben Chaiken with Mizuho. Hey, thanks for taking my questions.
Ben Chaiken: Regarding Europe, the partnerships in Austria over the last few weeks were pretty notable. How do you think about the tipping point, if you will, where there's momentum with a European pass? Or a regional pass within Europe. Meaning meaning, do you think about, like, the number of assets required to create this flywheel that you've developed elsewhere? Then and then maybe related, following up on a previous question, can you achieve the desired network effect in Austria for example, owning the assets? Or is that just a precursor to eventually buying?
Rob Katz: I think that is I would say that's probably still an open question, right, in terms of I don't think it's don't think it's necessary for us to own a certain amount of assets to be able to put a product out. But the question is, right, to have a product that would be compelling or make an impact you know, or, you know, be differentially important to the guest in some way, yeah, we do think that probably owning some additional assets might be critical for that. But where those come in the lifecycle of that potential product, is a question when we would feel confident enough to launch that product where we feel like, again, it would be additive is also still an open question. And I don't think we have not come to any final conclusion on that. In the end of the day, we are going to you know, just like we have done historically. Right? We we pursue a lot of different things and we look to see where the openings are where the opportunities are that we think ultimately drive value And that's where we put our resources and focus And Europe will absolutely be there when we think it's the right time.
Ben Chaiken: Got it. And then, Rob, I'd love your take on ancillary. Obviously, that's been a large push over the last you know, maybe three three years. Are are Epic gear and driving ski school attached still top priorities for you? Thanks.
Rob Katz: Absolutely. Yeah. No. Absolutely. I think we have, you know, obviously, we these are guests that are already visiting our resort. Where we feel like there's opportunity to deepen our relationship with them and broaden our capture rate and in our minds, of that is going to be of some of the marketing improvement that I think we're going to be focused on as we look ahead to the upcoming seasons. But part of it is also, right, innovating on the product that we're offering and how they're engaging with that product or service. And so in that respect, we think myopic ear and Myopic Pro are both yeah, critical to that. Right? It is something new. Using technology, and providing a better guest experience. And then we layer on top of that. An improved marketing approach that we think, yeah, will be one of the most important revenue drivers as we look to the future.
Operator: We'll go next to Brandt Montour with Barclays.
Brandt Montour: Great. Thanks so much for taking the question. So you know, looking back at this past season and sort of the visitation shortfall that, you know, I I believe you guys would say, underperformed, you know, what you were trying to do, what the industry did. When you look at where geographically you lost share or sort of by source market? What can you tell us about sort of who that guest is? You know, I know that, Rob, you said that you know, the experience, getting the experience consistent, getting the experience right, is top of mind. You know, which guests do you need to win back? Is it more mountain specific, or is it more, I guess, yeah, source market specific?
Rob Katz: Well, a couple of things. One is that I would say, yeah, absolutely we did not achieve this year the result that we were looking for. And it's true that I think we underperformed the industry. Now part of that is where the industry over performed. Right? In some of the markets like the Midwest where we did perform well. But we have a tiny market share with only a couple of resorts there. So part of it is a geography balance, but part of it even within the geography right, we feel like we didn't hit our mark. And yeah, the biggest area where we feel like we fell short was uncommitted lip ticket. Visitors. And I think that obviously is someone who is they're not committed in front of the season, but they're obviously not also committed likely to skiing that season or not committed to skiing at our resort or maybe another resort that season. And in our minds, right, that is where we need to take a different marketing approach. To be able to compete and compete well in that marketplace. Think there's also opportunities for us to drive past sales as well. And again, it's typically going to be at at the margin, right, of course. It's that less committed person who we have to convert. Again, something that this company has done successfully for a long period of time. And I feel like is yeah, is right in our wheelhouse to be able to turn around. And yes, we look forward to the next couple of years. We think this is very achievable.
Brandt Montour: Okay. That's really helpful color. Thanks for that. Second question, you alluded a couple of times, Rob, to innovation around the past. Some of your peers are are are are notable in their sort of you know, constant tinkering and more dynamic sort of active management of of tiering and you know, blackout dates and and and things like that. I know you're not gonna announce your idea or ideas here, but just to get your maybe philosophy on the pros and cons of of more tiering the expense of being more complicated, of course, but but perhaps to unlock the unique supply and demand dynamics of, you know, each particular mountain you have?
Rob Katz: Yeah. I mean, I think most people with say that we've done a lot of that already. And if anything, sometimes we could be people can criticize us for having too many products, being too complex. But it is for this exact reason that we are constantly looking at whether or not there's a new approach, right, for us to get somebody to to commit in advance. And of course, it's true that as time has gone on, that becomes harder. Because the people who are easiest to convince, of course, we already converted them a long time ago. But but in our minds, like, that's that's what we're here to do. And that innovation is critical. And so as I talk about potentially changing our path product or portfolio, yeah, I don't see some huge overhaul. But it is to see where we can be more aggressive and how can we continue to mine both I would say, your earlier question, both types of guests and source markets. I think it's both. I don't think it's isolated to one market or one type of guest. I think it's it is on what I would call it though is it is the less committed skier. That I think is where our focus will be.
Brandt Montour: That's great. Thanks, Abby. Thanks for everything. Bye. Bye.
Operator: We'll go next to Chris Woronka with Deutsche Bank.
Chris Woronka: Good afternoon, everyone. Rob it's, it's nice to have you back in the seat. So I wanna start off with a it's little bit of different question, Rob. But, you know, if if you look at like, the cruise industry, right, and you look at know, they have ticket prices that are probably, you know, significantly higher than they were in 2019, and know, you guys are kinda on a like for like basis, not not a lot higher. Some of that's mix. And and maybe some of that in cruise industries is new hardware and stuff. So the question is, you know, do you think you can continue driving price and engagement you have enough ways to kind of you know, reinvigorate or or not reinvent, but but you know, reenergize the product without, you know, going off the rails spending wise. Is that possible Do you think you need to do that?
Rob Katz: Yeah. I think I absolutely believe that our opportunity to continue to drive price is is there as it's been there before. And I think we've shown that in a lot of different ways. I think it's a little bit different than the cruise industry. Or the hotel industry in that we've got this matrix, right, around advanced commitment and lift tickets. And we're dialing both at the same time. And even within lift tickets, right, we're dialing people who want to buy in advance of showing up the day of. And so it's a bit more complex, but that's also, I think, where we've been able to be successful. And we have are continuing to invest in our resorts, continuing to add new lifts, upgrade restaurants, right, new experiences, continuing to use technology to improve the guest experience, And we think all of those absolutely justify, right, the opportunity for us to continue to charge for that. But at the same time, yes, we understand that to move people into advanced commitment, that's going to be something that we have to look at from a kind of longer term basis. Right? As we give that discount, the question is, right, are we picking up days of skiing or extra dollars over a four year season where if we don't do that, we might lose that person in a bad snow year. Which, by the way, could be a bad snow year or it could be a bad weather day. Right? We could have an amazing snow year. One day over Christmas, right, if it's very windy, you can lose people. So getting those folks to commit in advance for us, even if it's a week in advance, can still be quite compelling to our overall value thesis for the company.
Chris Woronka: Okay. Yeah. Fair enough. Appreciate that. That color. The follow-up is you've covered a lot of ground on costs, and and there's a lot of different angles to it. But and I'm certainly not trying to get a number from you for for any future year, but but just direct at a high level, do you think based on what you see today, which may change, you think there needs to be kind of a grand reset of sorts on on operating expenses in terms of labor housing or whatever? Or do you think you just need to tweak certain things and you you know, other things with corporate expenses and such will will counterbalance the the operating expenses.
Rob Katz: No. We we don't we don't think that there needs to be some grand reset. We think we need to ensure that we stay competitive. In terms of how we attract employees to the company. And when you look at the investment that was made a couple of years ago, was significant. And I think it really reset us and I think has allowed us to deliver a much better experience along with many other ways that we're connecting with employees, which is especially on the seasonal frontline levels, which is why we our seasonal return rates and retention rates are the best they've ever been. So to me, I think we start with that. Now I also think, though, there's ways that we can be a lot smarter. And so what you're seeing in the resource transformation efforts we're not pulling back on the guest experience at all. But we're realizing that we're a big company now. That grew pretty quickly. We can actually just be more thoughtful about how we resource and how we oversee the same things. And obviously then, no different than any other company. There are opportunities, right, for us to use technology and AI and other stuff that we're going to continue to leverage just like everybody else's.
Chris Woronka: Okay. Thanks, Rob. Thanks.
Operator: This will conclude the Q and A portion of today's call. I would now like to turn the call back over to Rob Katz for closing remarks.
Rob Katz: Thank you, operator. This concludes our fiscal 2025 third quarter earnings call. Thanks to everyone who joined us today. Please feel free to contact Angela or me directly should you have any further questions. Thank you for your time this afternoon, and goodbye.
Operator: Thank you, sir. This concludes today's Vail Resorts fiscal third quarter 2025 Earnings Conference Call and Webcast. You may now disconnect your line at this time, and have a wonderful day.